Operator: Good morning, and welcome to the First Quarter 2012 Conference Call for Old Dominion Freight Line. Today's call is being recorded and will be available for replay beginning today and through May 10 by dialing (719) 457-0820. The confirmation number for the replay is 7324822. The replay may also be accessed through May 10 at the company's website.
 This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements.
 You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Old Dominion's filings with the Securities and Exchange Commission and in this morning's news release. And consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise.
 [Operator Instructions] Thank you, for your cooperation.
 At this time, for opening remarks, I'd like to turn the conference over to the company's Executive Chairman, Mr. Earl Congdon. Please go ahead, sir. 
Earl Congdon: Good morning. Thanks for joining us today for our first quarter conference call. With me is David Congdon, Old Dominion's President and CEO; and Wes Frye, the company's CFO. After some brief remarks, we'll be glad to take your questions.
 Old Dominion got off to a great start in 2012 continuing the momentum we have been experiencing throughout the economic recovery. We produced record quarterly revenue not only for this first quarter but also with respect to any quarter in our company's history. We also had the best first quarter operating ratio in our history and a 42% growth in earnings per diluted share. Although our year-over-year revenue growth rate of 17.6% for the quarter was less than 20% for the first time since the second quarter of 2010, the comparison to the first quarter of 2011 was unusually tough because we experienced a revenue growth rate of 33% during that quarter, our highest quarterly growth rate ever. Our revenue performance for our recently completed first quarter was driven by a good mixture of tonnage growth and improved revenue yield and we were pleased to produce our first increase in weight per shipment since the end of 2010. We believe Old Dominion is well-positioned to produce additional profitable growth as we proceed through 2012.
 Our tonnage and pricing trends to date in April are positive, and we believe the continuing balance capacity and margin focus in the LTL sector supports a good pricing environment. Although the strength of the national economy has continued to be uncertain, we have not experienced significant reduced demand or any meaningful downward pricing pressure.
 During 2012, we expect to continue to use our substantial cash flow and strong financial position to expand our operating capacity in preparation for continuing market share opportunities through either organic growth or industry consolidation.
 After saying last quarter that I had never seen as strong a financial position for Old Dominion in my 60-plus years at the company, our significant profitable growth further enhanced our financial position during the first quarter of this year.
 Our priority moving forward into 2012 is to continue our focus on our differentiated value proposition that offers industry-leading service standards at a fair and equitable price. In this regard, we have the utmost confidence in the OD family of employees who are responsible for Old Dominion's culture of customer service.
 Our strong performance for the first quarter of 2012 once more demonstrates our ability not only to maintain but also to enhance the highest quality service in the industry.
 So thank you, again, for being with us today and for your interest in Old Dominion. Now, here is David Congdon, to discuss our first quarter operations in more detail. 
David Congdon: Thank you, Earl, and good morning. I'll share Earl's outlook in an industry that is still recovering from a multi-year downturn. We are strongly positioned to gain market share because of the strength that have enabled us to continue to outperform the industry. I also share his confidence that our outstanding team of employees will continue to consistently raise the bar with respect to the execution of our value proposition.
 In the first quarter, the efforts of our Old Dominion family produced a cargo claim ratio of 0.47% of revenue and an all-time delivery percentage of 99%. Our success at driving density through increased market share in our existing service center network, combined with our disciplined focus on revenue yield, were primarily accountable for the increased operating leverage that produced a 190 basis point improvement in our operating ratio.
 Our operating ratio for the first quarter of '12 was a first quarter record for our company, which is particularly notable since the comparison was against our previous first quarter record established in 2012.
 We continued to enhance productivity and efficiency as well. For the first quarter, pickup and delivery shipments per hour increased 2.2%, P&D stops per hour rose 2%, and platform pounds per hour increased 6.9%. Our only -- our laden load average slipped a bit and although only down 1.2% it reflects our ongoing commitment to maintaining and improving on-time service.
 As we look forward, we expect the OD family will continue to differentiate the company through their execution of our proven business model. On a longer-term basis, we expect to continue to build out our service center network, invest to maintain ample equipment capacity and refine and enhance the services we provide to our customers. By focusing on service, density, yield and productivity, we expect to continue to benefit from the operating leverage inherent in our substantial infrastructure investment.
 We are always alert to consolidation and other acquisition opportunities, but we are not dependent on them to drive our long-term growth. We have steadily gained market share through our determination to be the service quality leader, and we believe we have successfully differentiated Old Dominion in the market through our commitment to our value proposition. To deliver this proposition, we have refined the capital investment, the technology, the services, the geographic coverage, the integration, the expertise and the service quality required to be competitive in today's LTL industry. 
 Our continued growth and success shows our -- shows that our customers understand the value of our services. By continuing to deliver these services consistently and effectively, we believe we are well-positioned competitively.
 As a result, we are confident in our ability to expand our mid-single-digit share of the $40 billion-plus LTL market. In doing so, we expect to achieve continued near and long-term profitable growth, which in turn we expect will produce increased shareholder value.
 Thanks for being with us today, and now I'll ask Wes to review our financial results for the quarter in greater detail. 
J. Frye: Thank you, David, and good morning. Old Dominion produced a new company record for quarterly revenues with a 17.6% year-over-year increase to $497 million for the first quarter of 2012. The growth in revenue reflects a 10.7% comparable quarter increase in tons and a 5.5% increase in revenue per hundredweight. Our total tonnage was comprised of a 9.5% increase in shipments and a 1% increase in the weight per shipment. Sequentially, throughout the first quarter, the tonnage growth per day was 14.2% for January, 10.4% for February and against tougher comparison 8.3% for March as compared to the prior-year periods. Though April was not quite completed, we expect tonnage to be up approximately 10% and be in the 9.5% to 10% range year-over-year for the second quarter overall.
 Revenue per hundredweight, excluding fuel surcharge, increased 3.6% for the first quarter. As you would expect, the 1% increase in weight per shipment for the quarter and the 1.7% decline in length of haul had a negative impact on revenue per hundredweight. We expect our revenue per hundredweight, excluding fuel surcharge, to increase year-over-year in a range of 2.5% to 3.5% for the second quarter.
 Old Dominion's operating ratio for the first quarter was at 89.1, 190 basis point better than the first quarter of last year, and as David and Earl mentioned, were record quarters in 2011.
 Salary and wages and benefits declined 50 basis points as a percent of revenue despite a wage increase of 3% implemented in September of 2011 and a 70 basis point year-over-year increase in our group health expenditures for the quarter.
 Operating supplies and expense declined 50 basis points, largely due to a lower equipment repair cost and a 3% improvement in our miles per gallon. Insurance and claims declined 20 basis points as a percent of revenue due to a favorable cargo plane experience.
 Capital expenditures for the first quarter totaled approximately $89.4 million. And we currently expect total CapEx for 2012 to be in the range of $300 million to $350 million, including real estate expenditures of $90 million to $120 million, equipment expenditures of $195 million to $210 million and technology expenditures of $15 million to $20 million.
 For 2011, we again expect to fund much of these expenditures through cash flow, our cash balance of $54 million at the end of the first quarter and our available operating [ph] capacity. We had approximately $150 million of availability on our 5-year revolving credit facility at the end of the quarter.
 As Earl mentioned, our already strong financial position improved during the first quarter. Total debt to total capitalization was 22.5% at the quarter's end, a 140 basis point improvement from 23.9% at the end of 2011. With full implementation of our existing CapEx planned for 2012, which is subject to availability and timing of real estate, we currently expect our total debt to total capitalization to be in the range of 24% to 26% at the end of year ending 2012.
 Our effective tax rate for the first quarter of 2012 was 39.5% and we anticipate an effective tax rate of 39.5% for the remainder of 2012.
 And this concludes our prepared remarks this morning. Operator, we'll be happy to open the floor to any questions at this time. 
Operator: [Operator Instructions]. We'll take our first question from Justin Yagerman with Deutsche Bank. 
Justin Yagerman: Wes, just one quick housekeeping. The 2.5% to 3.5% yield improvement that you talked to for Q2 that's net or gross if you will, that's net? 
J. Frye: That is excluding fuel surcharge, Justin. [indiscernible] 
Justin Yagerman: And I was hoping you could talk about the improvement in weight per shipment, anything we that can glean there? Typically that's been, at least some kind of harbinger of economic activity we've seen manufacturing data, you've seen strong in Q1, are you seeing those trends continue into April? And do you guys glean anything from that vis-à-vis the economy or your business? 
J. Frye: Yes -- into April, we're still seeing a very steady economy. I think not only is the weight per shipment still positive but the frequency of shipments, our number of shipments are still strong. And again, we have to say how much of that is economy and how much of that is market share, it's hard to distinguish. But still, we still think that the economy, as David had mentioned in his comments, is still pretty steady and we get that same anecdotal feedback from our customers. 
Justin Yagerman: Okay. Last question, I'll turn it over, because I know you want to keep it a little tight. A lot of talk with fuel[ph] prices having moved up as much as they have about increased near sourcing and a renaissance in U.S. manufacturing and some stuff move into Mexico. You guys don't talk much about it, but do you do any cross-border business and do you see much activity coming in from Mexico? Or, I mean, can you talk to any near-sourcing trends that you guys are seeing impacting your business? 
David Congdon: Justin, we're not seeing a lot of major shift -- any major shift in near sourcing yet. But we do a more significant amount of cross-border business going to Canada. And our Mexico business is growing at a better rate than it had in years past. It was kind of floundering for a while, but it's -- actually is growing at this point better than we had seen. It's still not real significant to us though. 
Operator: And next we have Todd Fowler of KeyBanc Capital Markets. 
Todd Fowler: Dave, or maybe Wes, I think you touched on this in your prepared remarks, the salaries and wages were a little bit higher than what we were looking for here  this quarter. I think that we would have had the wage increase but the comments on the health care was that 70 basis points year-over-year, was that sequentially? And is that something that's going to continue through 2012? 
David Congdon: Yes. Todd, that was year-over-year of 70 basis points. And whether it's a trend or an outlying month, we're just not sure at this point whether that -- we just have to keep watching it. But they did, it was well above what we -- our expectations were for that particular cost. As you probably know, we're self-insured for group health so it does fluctuate based on timing of the expenditures and of course the health issues. But it was a 70 basis point effect in the first quarter whether that will continue or not, we're not sure but we will deal with it. If it is, we will -- we'll address that issue. 
Todd Fowler: And when you say you'll address that, I mean, what are some of the things that you can do from a cost control standpoint? 
David Congdon: Well, some of it is hard. I think we have been putting a lot of emphasis into our wellness programs for a number of years, and all of that has a long-term benefit and you can't really -- all of a sudden you have 5 people or 10 people experience a cancer or a heart attack and open-heart surgery, those huge doctor bills, you can't stop them from happening, there's no way you can really control it. It just sort of -- it is what it is. It was the large claims -- yes, we had a -- we did have, for some reason, a significant number of larger claims, what we call major claims that hit us in the first quarter. 
Todd Fowler: Okay. That helps, I think I got that. And than you're thinking about the incremental margins here, it was a good quarter from an OR standpoint, incremental margins, I still think remain above the trend that you've talked about kind of in that 15% to 20% type range. Is there any change to that expectation for the rest of the year based on building up the network and some other things that you're doing? Or can we expect to see incremental margins at this level? 
David Congdon: We don't give guidance on that, Todd. But, as you know, going into the second, third quarter I think we produced results that are at different level. I know, just kind of an analogy if you compare it to a sprinter once you get to a 9 second 100-meter to get to 8.9 becomes incrementally tougher. But given the fact that if the pricing environment remains steady, and we still have density improvements that we can get into the system, there's no reason why we can't continue to improve to produce those results. But it is a tougher and tougher comparison as the year progresses in the second, third quarter. 
Todd Fowler: Sure. Yes. And that make sense. And I was just asking relative to some of the specific investments that you're doing in the network. The last one I have and I'll turn it over, I think one of your major competitors made some adjustments to their network earlier this month, I was curious if you've seen any impact on market share or freight shifts as a result of that. 
David Congdon: Which major competitor was that, we have a lot of them. 
Todd Fowler: I was thinking of YRC. 
David Congdon: I think Earl addressed that last quarter. When you say when they got out the next-day lanes? 
Todd Fowler: Right, exactly. And then taking down some of the end-of-line terminals and shrinking the network a little bit here in the -- early in April. 
David Congdon: We haven't seen any major shift occurring there. 
Operator: And next we have Scott Group of Wolfe Trahan. 
Scott Group: So clearly, you guys are still taking share. But UPS talked today on their call this morning that it felt like LTL's getting a little bit more competitive from a pricing standpoint. Can you talk about what you're seeing out there in the market? How you think that's impacting your share growth just because the tonnage was a little less than we thought in the quarter. And how the environment out there impacts your ability to get some pricing? 
J. Frye: I will start off. Our tonnage grows at 10.7%, was up against 18.4% last year. So remember that was a very tough comparison. We're not seeing the yields or the pricing competitiveness become stronger in any big way. There's always been spotty competitiveness and spotty irrationality in our industry for the last 20 years. But we feel like the pricing environment remains stable and good. And also believe that it will remain so going forward. 
Scott Group: David, do you have a sense on just pricing if we exclude the impact of length of haul and weight per shipment? 
David Congdon: I know, 3.6, which is revenue yield, it was negatively impacted by both of those 2 metrics. Such that if we have an algorithm to calculate what the actual pricing was, we would expect it to be above that. And certainly anecdotally, the price increases we're getting from most contractual renewals are in a range that might be above that. 
J. Frye: The other comment I'll make about pricing is that in the -- I'd say the third quarter of 2011, I might get my years mixed up, of 2011 and fourth quarter, those were periods of time when just after a couple of our large competitors changed their tune on pricing and started raising prices significantly -- that was '10, I'm sorry, I got my years mixed up -- but that was in the third and fourth quarters of '10. And so therefore, in the -- we were seeing dramatic improvements in yield during the fourth quarter of '10. The first and second quarters of '11. So we've got some pretty tough comparisons on a year-over-year basis. 
David Congdon: Just to be specific -- and that was [ph] 2011, we were seeing revenue per hundred weights, excluding fuel surcharge in the second quarter, up 8% in the second, third quarter and up 7% in the fourth quarter. 
David Congdon: So we got really tough comparisons because the anchors on pricing were moved. And so settling back down into a pricing environment that x fuel that's in the, say, 3% to 4% or 5% range is pretty strong yield improvement in my opinion. 
Scott Group: And that's very helpful, great color. And just last quick thing, you guys are -- seem to be very good at quantifying things. How should we think about the impact of weather in the quarter both on tonnage and margins? 
David Congdon: Well, it's difficult to measure. Because even in 2011, you know had -- we had miserable weather as you would probably recall, having experienced it yourself in January and February of 2011. And then we had a very strong sequential March, where our tonnage came back about 8% sequentially, which was at least twice what we expected. So the bottom line for the quarter overall is how much net -- net did the weather impact us. Now I know it impacted us from a cost standpoint because we had probably by 20 basis points with snow removal and record service and all of those kinds of things. But as far as the revenue, it's hard to quantify that compared to this year, and that's one reason January was so strong at 14%, and February was fairly strong and then we had a comparison of March against a very strong recovery March of last year. So it's hard to tell from a revenue impact what the bottom line was. 
J. Frye: And we see our growth settling in on tonnage for April and maybe for the second quarter the guidance we gave just a moment ago was 9.5% to 10.5%. 
Operator: And we'll move on to our next caller from John Godyn of Morgan Stanley. 
John Godyn: I want to follow-up on the comment in the press release about how your tonnage growth is mostly driven by market share as opposed to economic improvement. I know the market share gains you've been seeing are mostly due to your superior value proposition. But I was wondering if you could talk about how you think the current elevated fuel and sluggish macro environment might be amplifying how much that resonates with customers compared to your competitors. Do you find that you almost have extra leverage on market share gains to a rising fuel and sluggish macro backdrop? 
David Congdon: John, I think we're not exactly sure what you're asking. I think our market share and our superior service, as you appropriately described, is pretty much there in any market. In fact, sometimes in a downmarket, our view was, and why we continue to invest in this service, was that if the demand is lower that means it may be even more important to get those goods there on time undamaged. So we think that serves us well both in down markets and upmarkets, I'm not sure if that answers your question, if it doesn't just let us know. 
John Godyn: Yes. That's helpful. And you've been great about leveraging your value proposition to grow tonnage way in excess of the industry. Instead of kind of leveraging it to grow price above the industry. But do you worry that taking so much share instead of growing earnings through price might eventually backfire and put so much volume pressure on competitors if they start acting a bit more irrationality on price? 
David Congdon: We don't really look at it that way. We don't see a balance between -- I know that there is a relationship between tonnage growth and pricing. And it could be negative, depends upon where it is. But we look at pricing on an individual customer basis, in a profitability basis not only -- trying to increase tonnage by reducing price. We just don't look at it that way. 
Operator: And we have Jason Seidl of Dahlman Rose with the next question. 
Jason Seidl: A couple quick things. One, could you give a little more color around the insurance in the quarter and how much that was? I think you said there was some abnormal hits that you guys took on health insurance, could you give us some numbers around that? 
J. Frye: Well, the insurance on the group health, the effect of it was about $3 million more than what we would have expected and what our normal trends in that cost would be. Again as I mentioned and reiterate, we hope that, that was an outlying with just a lot of large claims coming in that contact time. But we can't be totally sure of that. But that was the net impact in the first quarter. 
Jason Seidl: Okay. So that was actually a decent amount more than you guys had thought. Okay. 
J. Frye: Yes. 
Jason Seidl: Good color. Also, Wes, when you look at sort of your margin gains going forward, obviously, posting records every quarter seems great. But you did have a little bit of benefit this quarter in that there were not the weather expenses and who knows where the revenue is going to whack out in terms of more favorable conditions. Do you guys see it sort of settling out at some point on your ability to grow the margins in this business? Or do you still think that you, guys, can still push margin gains going forward through density and pricing? 
David Congdon: I'd like to answer that. This is David. We think that we can continue to improve margins as we are pursuing the growth in our overall market share. We have roughly 5% to 6% of the LTL market today with our stated goal of achieving $3 billion in sales by 2015. That should push our percentage up closer to 10% of the market. And that extra density across the network, which is essentially paid for, I'm sure we'll still have to expand some service centers, but we've made some significant investments over the last couple of years in major health service centers and major end-of-the-line centers that we can leverage as we grow into that additional freight across the LTL network. And also by leveraging our OD Global and OD Expedited business, those opportunities will help feed the network as well. We're implementing additional technologies, and -- to improve operating costs. And also believe that the yield environment, going forward, is going to be positive for our industry because the cost of staying in the game this day and age is really tough. And the barriers to entry are there, where no one is going to enter the LTL business. And so with capacity constraints going forward, continued improvement in demand for our services, I think it's going to bode for a good pricing environment for many years to come. So density improvements with good pricing should enable -- and improvements in operations in technology and so forth should allow us to keep improving our margins. 
Jason Seidl: Great. That's fantastic color, David. My last one here, you, guys, in the past have talked about adding sort of some ancillary services maybe such as warehousing, in the past. Is that something that's still on the dock? And where do you, guys, sort of stand with that? 
David Congdon: Sure is. We've launched Vault Logistics as an independent operating division of Old Dominion in August of 2011. And it's underway and we're growing our Warehousing business as we speak, our Managed Transportation, our Truckload Brokerage and things like that, that are part of Vault Logistics, and we'll continue to focus on that. 
Jason Seidl: David, does the warehousing operation drive business directly to the OD trucks? Or is it actually a carrier neutral type of business? 
David Congdon: Well, it's both. To the extent that it makes sense for the customer to put freight coming out of the warehouse on an OD truck, we do that. But to the extent that it makes more sense to use another carrier to move the freight, we do it that way. It all depends on each situation with each individual customer. But yes, we're carrier neutral. 
Operator: And next we have Tom Wadewitz of JPMorgan. 
Alexander Johnson: Good morning, it's Alex Johnson on for Tom. Wanted to ask you, I think, Chicago is an area where you've mentioned in the past having some capacity constraints, just wanted to check on sort of where you see capacity constraints in your network at the present time? And then just looking back to the press release, you've mentioned that investments are subject to the availability of suitable real estate. Do you see anything, sort of, breaking free that allows you to reduce any capacity constraints that you have? 
David Congdon: Chicago remains capacity constraint and we're right on the verge of getting our permits to build a new facility in -- out in the Bolingbrook area to relieve that. But that will take roughly 8 or 9 months following the permits. Our other couple of capacity constrained areas, one of which was Indianapolis, we expect to be complete with about a $20 million upgrade, an addition to that facility, moving in, in late September, I think. It's the target date now or mid-September. So that was the other, the second most -- second-worst capacity constraint and we're just now completing an addition of 100 doors in Moorestown, Tennessee, which is adding capacity for further growth in that market. And that is really the only capacity constraints that we have. 
Operator: And next we have Chris Wetherbee of Citi. 
Chris Wetherbee: Maybe another question is on the weight per shipment. Just trying to get a sense of how you think about the margin impact of weight per shipment? I know, obviously, it's a headwind from a total yield perspective. Did you get any benefit of that consolidated type of movement? 
David Congdon: It could be someone [ph], 1% is not a lot. But the one positive is that if the weight per shipment is heavier, that means that the revenue per shipment is also heavier and that's what pays the bills so to speak. So our revenue per shipment was up 6.5%, excluding fuel surcharge. So I think it was right. Excuse me, 4.7%. So that's the positive from the increased weight per shipment. And of course that also implies if the weight per shipment is -- then you have less handling as opposed to 2 shipments as opposed to one bigger shipment. 
Chris Wetherbee: Sure. And when you think about the guidance for 2Q at least from a core pricing perspective, x fuel surcharge, how do you think about weight per shipment? Do you have an assumption baked into that? Do you expect to continue the kind of modest year-over-year gains as you go forward? 
David Congdon: Well, the weight per shipment implying higher revenue per shipment, and the fuel surcharge is tied to the revenue per shipment. So, yes, it would be a slightly higher fuel surcharge. 
Chris Wetherbee: Okay, but, I mean, I guess, for the -- when you're looking out for 2Q, I think you mentioned 2.5% to 3.5% price per hundredweight x fuel surcharge. I just want to get a sense of what the maybe [ph] implied weight per shipment dynamic [indiscernible]? 
David Congdon: That weight per shipment implied is kind of flattish at this point, maybe up very slightly, few 10 to 20 basis points but basically flat. Weight per shipment is significantly influenced by the mix of the freight and also by the region. 
Chris Wetherbee: And then, I guess, because that's actually a good transition to my next question. You mentioned just on the last call, last question about the regional, kind of, issues as far as capacity constraint. I know it's difficult to do, but when you think about the network, I guess, holistically do you have a sense of kind of what type of utilization levels you are on average? I know it's going to vary, kind of, region by region, you kind of highlighted the ones that are particularly constrained from a capacity perspective. But just overall, a sense of how much more capacity you do have for volume growth going forward. 
J. Frye: That's a real hard question to answer because it does vary from some service centers based on weight per door, per day. And that's the way -- the only way we've ever tried to measure the capacity of centers. And when we look at the centers that are at capacity, where we're busting at the seams, we tend to see somewhere in the 17,000, 18,000 pounds, per door, per day category. But we have some centers that are in the 2,000 and 3,000 pound per day. They might -- it might be a little place like St. George, Utah that's -- got loads of capacity and then some in the middle that might have -- might be doing 8,000 or 9,000 pounds per day which would imply they have 50% to go. And the last time I did the math on it, I think their average was about -- the average of all service centers of the peak, which is the top, which is 18,000 pounds a day. We were somewhere around 65% or 70%. That's not a perfect science, believe me. 
Chris Wetherbee: Yes sure, obviously, it's sufficing to say that there is going to be capacity constraints in some certain geographies. But on average, it's 65% to 70% of the peak. 
J. Frye: And also it depends on whether you're a big inbound location or an outbound location because if you're in Florida and you're heavier inbound it requires more doors to process an inbound operation than it does an outbound, a heavy outbound operation. So it's -- that's why it's not a perfect science, it's -- but that's how we look at it. 
Operator: And we'll move next to Chris Ceraso of Credit Suisse. 
Patrick Geekie: This is Patrick Geekie on for Chris this morning. I have 2 questions for you. The first one, you had mentioned that productivity improvements in the fourth quarter occurred at faster rate than you guys had initially anticipated. Did that momentum kind of carry forward or continue into the first quarter and then into April this year? 
David Congdon: The answer is yes. We had some very good productivity metrics that we were -- experienced in the first quarter. And so far in April, we're still seeing those metrics being positive as well. 
Patrick Geekie: Were they stronger than normal or just... 
David Congdon: I think it's pretty much at expectation. 
Patrick Geekie: Okay. And then on the second question. I wonder if you guys can provide any color on what changed in the marketplace to have your tonnage growth coming in a little bit below your revised tonnage guidance. Was January and February stronger and you thought March would carry the momentum? 
David Congdon: To tell the truth, we gave the first guidance on our January -- on our fourth quarter conference call. And we're, as you know, we were seeing 14% in January at that time. So being what we thought was conservative, was -- reducing it to I think that guidance was 11, was 12 to 13. And then maybe we didn't fully realize that as the quarter proceeded that the comparisons got much and much tougher. And that's when we reduced the guidance to 11 to 12 and came in, I mean you can round up to 10, 7 to 11 so we came in pretty much on track. On the other hand, we were too conservative on the revenue per hundredweight initially in January indicating 1.5 to 2.5 and revised that upward to 2.5 to 3.5 and exceeded that upper range. So that came in better and -- than we expected. So all in all, if you look at the tonnage growth and the pricing, overall if you average the 2, it actually is a slight positive. 
Operator: And next we have David Ross of Stifel, Nicolaus. 
David Ross: Can you talk a little bit about the market share gains whether they're coming in specific regions or in specific lengths of the haul? 
David Congdon: David, it's really comes from all over the board. As we've discussed before when we're working with customers, the fact that we do -- we can do regional, interregional, long-haul service all under one company we see where the customer's hurting spot is so we're getting, we may be picking up a Long-haul business and long-haul market share from one customer and medium haul or short-haul from another. The key point is to make sure that you know what your costs are so that you price it right to make a profit. But our growth, the last several quarters I had seen more growth occurring across the top half of the country. But I was looking specifically today at how we're doing in April and we're seeing a growth pretty much uniform across the country. So it's maybe a little bit stronger across the top, but we've got some strong growth across the bottom half of the country as well. So I think our gains are coming from all angles. 
David Ross: And then is truck load competition for heavier weight LTL shipments either getting more intense or are they backing off taking the heavier shipments from you guys? 
David Congdon: Well, we kind of intentionality backed off several quarters ago from stock quotes and volume. Consequently, our volume tonnage is down about 15% year-over-year, but that was intentional. But if you look at the pricing of that, it's up 15%, even excluding fuel surcharge. So what we're getting is profitable. We haven't seen any real move one way or the other, other than what's our expectations have been, and that's at this point. 
David Ross: Excellent. And then on the equipment side of things. David, could you talk a little bit about the tractor technologies, the fuel efficiencies on the new trucks you're bringing into the sleeve [ph] versus kind of the former model years you've been using. And then any thoughts you have on nat gas vehicles? 
David Congdon: David, I don't have any specifics on the fuel economy of the new tractors versus the old. I can tell you, and I think we've reported earlier, within our discussion earlier on this call that our fuel mileage had improved 3% year-over-year. And the new tractors I think are performing relatively well. So that's all I can really say about that. And as far as natural gas, we're not doing any natural gas trucks at this time. And we don't have any plans to do any in the near future either. 
Operator: [Operator Instructions] We have Jack Waldo Stephens Inc. next. 
Jack Waldo: I wanted to ask 2 questions. One, what is your goal for -- or where do you expect terminals to come in by the end of the year? 
David Congdon: Our goal for what by the end of the year? 
Jack Waldo: The number of terminals or service centers. 
David Congdon: We're slated to add about 5 terminals this year. 
Jack Waldo: Okay. And then how much business do you guys -- do 3 PLs, third parties currently represent? 
David Congdon: Probably in the 30% range. 
J. Frye: Probably around 30%. 
Jack Waldo: Is that up? I guess... 
David Congdon: Yes. It is up. It has been obviously growing but we manage it as if -- we manage it according to all the customers that they bring to the table not over all. So we don't look at logistics as logistics, we look at the profitability of their customers underlying their business. 
Jack Waldo: Got you. Got you. And have you guys announced or have any thoughts on the GRI? 
David Congdon: We haven't discussed that or have no plans at this time. 
Operator: [Operator Instructions] We'll go now to Tom AlBrecht of BB&T Capital Markets. 
Thomas Albrecht: I wanted too try to understand something here, why was your laden load average down when your weight per shipment was up? It shows you why we're on -- in the Wall Street and not in trucking. 
David Congdon: Well as we mentioned the laden load average is a major metric, which is a byproduct of the service that you're giving. So in a normal seasonal down period, your tendency could be to affect service by maintaining laden load average. And of course during this whole downturn, we haven't done that. So in order to make sure we improve service to 99% on time, and some cases, obviously, your loads and your schedules may not be quite as full as you'd like but you got to get it there, when you say you got to get it there. So 1.2% reduction isn't major, it does affect your line-haul costs obviously, but it's still is important if you're going to provide 99% on service. That's a commitment that you have to make. 
Thomas Albrecht: Okay and I guess the other factor beside just speed and commitment would be if you're growing share maybe a little bit more in the shorter haul market to where you got tighter cut times? 
David Congdon: Our laden load average in the longer haul lanes I think is better than the short-haul lanes because the short-haul lanes you have less of a window. And it has to go. So in the longer-haul lanes, our laden load average typically not only is higher but also may have improved. But the laden load that we give is a combination of the 2. But that is obviously more impacted than the shorter haul lanes where you got less of a window from a service standpoint. 
Operator: And at this time it appears that we have no further questions. I'd like to turn the conference back over to Earl Congdon for any additional or closing remarks. 
Earl Congdon: Thank you. Guys, as always, thank you, all, for your participation today we appreciate your questions and your support of Old Dominion. So please feel free to give us a call if you have any further questions. And we look forward to helping the world keep promises. Good day. 
Operator: And again that does conclude today's conference call, we'd like to thank you, for your participation.